Operator: Greetings, and welcome to the Parker-Hannifin Fiscal 2025 First Quarter Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Todd Leombruno, Chief Financial Officer. Thank you. You may begin.
Todd Leombruno: Thank you, Sachi, and welcome to Parker's fiscal year 2025 first quarter earnings release webcast. As Sachi said, this is Todd Leombruno, Chief Financial Officer speaking. Thank you to everyone for joining us this morning. With me today is Jenny Parmentier, Chairman and Chief Executive Officer. We do truly appreciate your interest in Parker. On Slide 2, we address our disclosures on forward-looking projections and non-GAAP financial measures. Items listed here could cause actual results to vary from our forecast. Our press release, this presentation and those reconciliations for all non-GAAP measures were released this morning and are available on the Investors section on our website at parker.com. The agenda for today is Jenny is going to start with highlights for our record first quarter performance. She's also going to reinforce how our key market verticals are positioned for longer-term growth. I'm going to follow Jenny with a more detailed look at our strong first quarter results. And then we're going to address the changes to the fiscal year 2025 guidance that we released and increased this morning. We'll then move to the Q&A session and we're going to try to address as many questions as possible. And with all of that, Jenny, we'll begin with you on Slide 3.
Jenny Parmentier : Thank you, Todd, and thank you to everyone for attending the call today. We closed our first quarter of fiscal year 2025 with our transformed portfolio driving record performance. We produced top quartile safety performance aligned with our goal to be the safest industrial company in the world. And once again, our balanced and diverse Aerospace Systems segment delivered exceptional performance. We had record Q1 sales of $4.9 billion, organic growth of 1.4%, and consistent execution of the Win Strategy delivered 80 basis points of margin expansion resulting in 25.7% adjusted segment operating margin. Adjusted earnings per share grew 4% and cash flow from operations increased 14% to $744 million. Another quarter of impressive margin expansion. The team is off to a good start. Next slide please. I want to spend a few minutes reminding everyone why we win. First The Win Strategy is our business system. We have a decentralized operating structure 85 divisions run by general managers with full P&L responsibility all acting like owners close to their customers and executing the Win strategy every day. We have innovative products that solve customer problems, 85% covered by intellectual property. Our application engineers provide the expertise that allows us to have a competitive advantage with our interconnected technologies that provide solutions for our customers. And finally, our distribution network the envy of the competition and the best in the world. It took us over 60 years to build it and it is truly an extension of our engineering teams providing solutions to all of those small to midsized OEMs that are participating in the secular trends in mega CapEx projects. These partners are experts at applying our interconnected technology. Next slide please. We have the number one position in the $145 billion motion and control industry, a growing space where we continue to gain share. These six market verticals represent greater than 90% of the company's revenue. Our interconnected technologies cut across these market verticals and give us a clear competitive advantage. Two-thirds of our revenue comes from customers who buy four or more technologies. And our growth is focused on faster growing longer cycle markets and secular trends. Next slide please. Both a secular trend and our largest market vertical is Aerospace. Parker has a balanced and diverse portfolio with significant content on leading aerospace programs. We have a comprehensive product offering across our diversified customer base with proprietary design on premier programs. On the upper left-hand side of this page is our sales mix by application. You see a nice balance of commercial and military as well as business jets regional transport and helicopters. This diverse aerospace and defense exposure allows us to have multiple products and technologies on every major aircraft program globally many of them seen on the bottom of this page. We have a balanced narrow-body/wide-body sales mix and the Meggitt acquisition significantly expanded our aftermarket sales. Today, aftermarket represents approximately 50% of our total Aerospace sales. All of this adds up to be a compelling value proposition for all of our Aerospace customers. Next slide please. Our second largest market vertical is In-plant & Industrial Equipment. We have a comprehensive suite of motion & control technologies that enable manufacturing all around the world. As depicted on this slide, Parker provides solutions for both Factory Equipment and Factory Infrastructure. Next slide please. Although we are experiencing some near-term pressure right now, this slide highlights how we are positioned for growth in the In-plant & Industrial Market Vertical. Mega CapEx projects, industrial CapEx investment and demand associated with semiconductor fabs and data centers will continue to drive long-term growth. The chart at the bottom left shows the $1 trillion of mega projects that have been announced since 2021. Our powerhouse of interconnected technologies and independent distribution network are differentiators that allow us to benefit throughout a project's life cycle as depicted in the sales mix chart on the bottom right. We win with new construction, new equipment and retooling and our aftermarket supports ongoing operations. I will now turn it over to Todd, to go through the summary of our Q1 results.
Todd Leombruno: Okay. Thanks Jenny. As Jenny said I'm on Slide 10. Our team set several records this quarter. Jenny called some of these out, but we set records for sales adjusted segment operating margin adjusted EBITDA margin and adjusted earnings per share. The sales of $4.9 billion, was an increase of 1.2% versus prior. Virtually all of that was organic. Organic growth was positive at 1.4%. There is some slight divestiture activity there unfavorable really just 0.2% and in the quarter compared to prior year currency was flat. Now we look at those segment adjusted segment operating margins, we increased those 80 basis points. We're really proud of that, on the 1.2% sales growth. EBITDA margins was a record at 24.9%. And net income ROS is 16.5%, with earnings per share at $6.20. Those are both records as well. And both of those are an increase of 4% from prior. It was really a nice start to the fiscal year, driven by consistent execution from our global team, really focused on continuing to take cost out and drive margin expansion. If you look at Slide 11, this details the increase in adjusted EPS. Again, if you can see that far outstanding operating performance along with some favorable interest expense really are the main drivers to the growth in EPS. Segment operating income dollars increased by $54 million in the quarter that was $0.33 of the EPS growth and that was really driven by strong Aerospace performance really meaning -- being the main driver on segment operating income. Interest expense is favorable $0.13 and that really is driven through our continued execution on our debt reduction plan. And corporate G&A and income tax were also slightly favorable in the quarter. If you look at other expense we did have a headwind of $0.26 in the quarter. This was related primarily to currency losses resulting from the re-measurement of intercompany loans and just some volatility on currency rates within the quarter. We do not expect that to continue for the remainder of the year. And also there is some slightly less favorable pension income compared to the prior year that shows up on the other line. And finally, share count was just $0.02 unfavorable. All in the adjusted EPS of $6.20 already said, it's a record, but it was really driven by strong margin expansion across the company. If we go to Slide 12, looking at the segments, we're proud of that margin expansion. We can't speak to it more enough. It's really just continued. The team continued to work on executing the Win Strategy. And I really do believe that our performance reflects how different a company Parker is today. And in spite of the low organic growth, we still generated 80 basis points of higher segment operating margins. Incrementals is unbelievably solid at 95% and orders remain positive at plus 1% and that's really driven by continued Aerospace strength. If we look at the Diversified Industrial North American businesses sales were $2.1 billion, organic growth was negative 5%. That was lower than what our expectations were going into the quarter. We are seeing delays and some near-term pressure in the energy and In-plant & Industrial Equipment verticals Jenny mentioned some of those. Transportation and off-highway verticals continue to be soft. But on a positive note HVAC did return to growth in the quarter. So we're happy about that. Even with that organic pressure, adjusted margins in North America increased 40 basis points to a record of 25.3% and it's really just great teamwork, resilience and operating execution. North American orders did take a step back. They were negative 3% in the quarter and we made sure that our guide reflects that pressure. Moving on to the international businesses. Sales were $1.4 billion. Organic growth was negative 2%, but that's kind of as we expected. So that's right in line with our guide. Organic growth in Asia Pacific improved to 3.2%; Latin America really positive at plus 14% but that was offset by a negative 8% in EMEA. Really proud of the team. Operating margins matched a record high of 24.1%, so even on that negative growth in the international businesses, we achieved – or matched a record high of 24.1%. The international team is really focused on productivity improvements cost controls and really performing well in a tough environment. On a good note, order rates did move to plus 1%, with Asia moving into positive territory driving that improved. If we look at Aerospace Systems, the Aerospace Systems segment continues to lead the way for the company. Again, it delivered an exceptional quarter. Sales were $1.4 billion. That's 18% greater than prior year. All of that is organic roughly 17% of that growth was organic and that was driven by double-digit growth in commercial and defense markets. And of course the adjusted segment operating margin of 27.9% is a record. That's up 190 basis points over the prior year. All that performance was driven by record top line sales, strong aftermarket mix as Jenny mentioned and continued implementation and integration of the Meggitt businesses. So great work there by our Aerospace team. Aerospace order rates continue to be positive at plus 7%. And I just want to remind everyone that we are lapping some very tough comparisons on those but we're happy that it's plus 7%. If I could draw your attention to Slide 13. Cash flow performance for the quarter is also a record. CFOA was $744 million or 15.2%, that is an increase of 14% versus prior year. Free cash flow increased 17% and finished at $649 million. That is 13.2% of sales. And conversion was strong to start the year at 93%. Within the quarter, we further reduced debt by $370 million and that drove our net debt to adjusted EBITDA to now 1.9 times. So we're happy about that. And I'm really proud of the team the way, we started the year on cash flow as a much better start than the prior year and that's due to a lot of hard work by everyone around the world. So that is a wrap on Q1 and we'll move to the outlook now. And Jenny, I'm going to hand it back to you for some comments.
Jenny Parmentier: Thanks, Todd. So as we've already alluded to we've made some changes and updated our FY 2025 organic sales growth forecast for each of these market verticals, we wanted to share this with you today. So we are raising Aerospace and Defense on aftermarket strength. We're now forecasting 10% organic growth at the midpoint versus 8.5% in our initial guide. Over the last 90 days, macro conditions affecting our industrial market verticals have softened as I previously mentioned, so we expect a delayed gradual recovery on easing comps, as we move through the balance of our fiscal year. For In-plant Industrial, so we – a slight reduction to our low single-digit growth outlook for the year. We're seeing some near-term delays in projects and capital spending but I will tell you we are pleased that the channel sentiment does remain positive. On transportation, we are maintaining our low single-digit outlook. So while the automotive production forecast remains lower, heavy-duty and work truck demand remains positive. We are now expecting high single-digit decline for off-highway. OEM destocking is continuing and we are seeing customers continue to reduce production levels including instances of planned shutdowns. The energy market has also been impacted by uncertainty and delays and we are updating our forecast to neutral. We are maintaining our HVAC refrigeration outlook of low single-digit growth, as the regulatory changes are driving growth on the HV side of the business and Todd already mentioned this. So guidance now, reflects divestiture activity expected to close in the second quarter. Divestitures represent, a 1.5% reduction to fiscal year 2025 reported sales versus prior year. This now results in an overall organic growth of 1.5% to 4.5%. With our transformed portfolio, we remain confident in growing EPS and continuing our track record of expanding margins. I'll give it back to Todd to review the guide in a little more detail.
Todd Leombruno: Okay. Thanks, Jenny. I'm on Slide 16, with some more detail and I'll try to not repeat what Jenny said, but reported sales growth for the year is now forecasted to be in the range of 1.5% to 3.5%. And that's 2% at the midpoint. The dollars work out to be $20.3 billion. Currency, we now expect that to be slightly favorable of 0.5% and as Jenny mentioned, the divestitures that we expect to close in the second quarter will be a 1.5% headwind. 100% of those divestiture sales will come out of the Diversified Industrial segment in the North American businesses. Organic growth in total is forecasted to be 3% at the midpoint. This is really driven by strong performance in Aerospace. We expect that to continue and adjusted segment operating margin guidance is raised by 30 basis points for the full year to 25.7%. That now will be a margin expansion of 80 basis points versus prior year. So, we're happy to see that. Incremental margins, we expect to be 70% that is really based on incorporating the Q1 performance into the full year guide and also the anticipated divestiture activity. Corporate G&A is expected to be slightly lower now at $215 million, and other expense is expected to be $70 million on an as-reported basis or $80 million on an adjusted basis really reflecting that activity from Q1. Interest expense, we are now forecasting that lower. We're expecting it to be $450 million that really is driven by using the anticipated proceeds on the divestiture activity to further reduce our debt. The full tax year we -- full year tax rate, we expect to be 22.5% that really is also incorporating the results of Q1. We are modeling Q2 through Q4 at 23%. And finally, full year as reported EPS is now $23.13 and adjusted EPS is $26.70 both of those at the midpoint with a range of plus or minus $0.35 on the either side. Adjusted EPS is split 46% first half 54% second half, and we do remain committed to our free cash flow forecast of a range of $3 billion to $3.3 billion for the year. Looking specifically at the second quarter, Jenny mentioned some of those near-term pressures. Reported sales are expected to be $4.8 billion, with organic growth of 1%. Adjusted segment operating margins we are forecasting to be 25.2% and adjusted EPS is now expected to be $6.15. And what we have done is as usual, we've provided some more specifics in the appendix if anyone is interested in those. If I could draw your attention to Slide 17, we provided a bridge on the major components to our increase in the FY 2025 guidance. Adjusted EPS moves to $26.70 per share. That was compared to our previous guidance of $26.65. You can see we exceeded our guidance by $0.15 in the first quarter. We have included that in the full year guide. The divestiture activity does net out to be $0.15 unfavorable. I do note that that is margin accretive. It's just slightly unfavorable $0.15. That is component of $0.25, less segment operating income, but $0.10 less interest expense. That nets out to $0.15. We are confident as Jenny said, in our ability to continue to drive margin expansion. And we are raising the remaining forecast of period by an additional $0.05 for the fiscal year and that's how we get back to the $26.70. So that is the walk and Jenny, I will hand it back to you for closing comments.
Jenny Parmentier: Thank you, Todd. Just a reminder on what drives Parker. Safety, engagement and ownership are the foundation of our culture. It's our people and living up to our purpose that drives top quartile performance that allows us to be great generators and deployers of cash.
Todd Leombruno: Okay. Sachi, we are ready to start the Q&A portion. I will hand the call back to you.
Operator: Thank you. As mentioned, we will be conducting a question-and-answer session now. [Operator Instructions] The first question is from Jamie Cook from Truist Securities. Please go ahead.
Jamie Cook: Hi, good morning, and congrats on a nice quarter. I guess, first question just on the implied incremental margins for the year Todd, 70% up from I think 40% before. How much is the divestiture just because the implied incremental margins in the back half of the year on the core business also seemed to be pretty good. So just wondering is it structural is it price what's going on there? And then I guess my second on the international orders you talked about Asia turning positive and sales turning positive. How big is that as a percentage of your business? And just any color on, which markets or the order growth that you're seeing in Asia? Thank you.
Todd Leombruno: Jamie, I'll start with the question on the incrementals and then maybe I'll hand it to Jenny for the market commentary. Really, the Q1 performance, if you look at our Q1 performance it was 95%. That's really probably the main driver of the performance there. The divestiture is a little bit of it. But if you look at the out quarters, we're expecting to be well above our stated 30% target. A lot of that is driven by the Aerospace activity. They've got great growth and nice margin expansion. And I would tell you the industrial businesses are doing a great job, controlling costs and doing what's necessary in a low growth environment. And that's really how the math is working out on the incrementals.
Jenny Parmentier: Okay. So Jamie, Asia Pacific represents approximately 11% of our total sales and it's approximately 40% of our total international sales. So as Todd mentioned, Asia Pacific Q1 growth came in a little higher than we thought came in at 3%. Orders do continue to trend positive across the region. That's what we saw in Q1, but the comp was easier on the growth and I would say that we're seeing some pickup in transportation and semicon markets. Seeing some nice robust growth momentum in India and Southeast Asia and China's growth was negative low single digits.
Jamie Cook: Thank you.
Jenny Parmentier: You're welcome.
Todd Leombruno: Thanks, Jamie.
Operator: The next question is from David Raso from Evercore ISI. Please go ahead.
David Raso: Hi, thank you. North America you raised the margins 50 bps, but lowered the organic sales, and the buckets are right the divestiture you're seeing is helpful to margins. The weakness is more OE business, it sounds like if I'm reading that correctly kind of factory floor CapEx and some of the big OEs taking their production down. The distribution piece I assume right that's -- you didn't comment on it. Can you help us understand where that channel is? I just want to make sure that over 40% of earnings, the distribution business if that cracks that's a different level of concern around the margins. So can you help us on that channel? And again anything you can help us with on the margin resiliency the rest of the year for North America?
Jenny Parmentier: Yeah. So David you are correct that the destocking comments are about what's happening at the OEM level and we're just seeing lower production rates and some additional shutdowns, longer shutdowns around the holidays. So when we're talking about the channel, the destocking in the channel as you know started over a year ago. And I mentioned last quarter, and I would say the same thing that we're not seeing restocking just yet. The sentiment I will tell you is very positive. Just within the last month, I've spent some time with two of our largest distributors and they are commenting on a lot of quote activity. They're just saying that they're experiencing delays. There's just project delays out there. So I would say that they're still managing their inventory tightly and not doing any stocking orders yet. And I would say to a certain extent some improved lead times have allowed them to operate with a little less product than they have in the past, but again very, very positive sentiment still coming from them.
David Raso: That's helpful. And can I just follow up with M&A. Can you give us an update on what the lay of the land is the pipeline?
Jenny Parmentier: Sure. So first of all I would say, we are very committed to actively deploying our capital. And as I've mentioned before the acquisition pipeline is active with targets of all sizes. We don't feel obligated to make a deal just because leverage is less than two times as Todd just talked about, it has to be the right deal. We're looking to acquire companies where we are the clear best owner with interconnected technologies building on those secular trends and mega CapEx projects. And we're looking for deals that are accretive to growth, they're resilient, they're accretive to margins cash flow and EPS. So I made the comment in the past too, we like all of our technologies and the pipeline is active.
David Raso: I'm sorry to follow up with them. Yes I'm just curious about the multiples out there versus the target. I'm just trying to get a sense of -- I know the strategy but just any pulse of the candidates are out there now it's more a matter of price or people sort of holding on waiting for elections Fed easing cycles to agree on a price. Just curious more of the kind of conversations out there.
Jenny Parmentier: Yes. A lot of it I would have to say is timing. Timing is a big factor.
David Raso: I'm sorry Todd please?
Todd Leombruno: But that was Jenny, David she just said it's really timing. It's not really an issue of anything other than just the normal activity of transaction process is I would say. The one thing I did want to follow up on David was your question on the margin, your math as usual is correct. The total company, the impact -- favorable impact of the divestiture is about 20 basis points. I mentioned earlier that that's 100% coming out of the Diversified Industrial North American businesses. It's about 40 basis points of favorable impact to those -- to that piece of the business.
David Raso: That's helpful. Okay. So basically North America margin, the improvement is principally all from the divestiture, but you were still able to keep the core margin maybe even at 10 bps despite lowering the organic sales and that's probably a bit...
Jenny Parmentier: Correct.
David Raso: Okay. Thank you so much. I appreciate it.
Jenny Parmentier: Thank you.
Operator: The next question is from Julian Mitchell from Barclays. Please go ahead.
Matt Laflash: Hi. Good morning. This is Matt Laflash on for Julian Mitchell. My question today is sort of around that $0.15 divestment headwind. Wondering, if you could maybe break down how that affects each quarter throughout the rest of the year? Should we kind of assume maybe $0.05 spread out across each quarter? Just how should we be thinking about that?
Todd Leombruno: Yes. We've -- I can answer that Matt for you. We're expecting that to happen sometime in the second quarter. So there's a slight impact in the second quarter, but it bleeds out into the second half of the year. If you look at the $0.15, it's about $0.01 in Q2. It goes to $0.05 in Q3 and then it's about $0.08 in Q4.
Matt Laflash: Got it. Thank you, Todd. That's helpful. And just a quick follow-up. If you could maybe dive a little bit deeper into the maybe Q2 segment and below-the-line assumptions for that $6.15 EPS guide for the second quarter?
Todd Leombruno: Yes. I would say there's nothing unusual there. We did have that one currency issue in Q1. We do not expect that to repeat. So I would tell you, both for corporate G&A and other, we are forecasting a pretty normal Q2 through Q4.
Matt Laflash: Great. Thank you
Operator: The next question is from Nathan Jones from Stifel. Please go ahead.
Nathan Jones: Good morning everyone.
Todd Leombruno: Good morning, Nathan.
Nathan Jones: I wonder, if we could just go a little bit deeper into some of the headwinds that you're seeing in North America I mean in-plant and industrial is a pretty broad category. So maybe any additional color you can give us on that kind of thing. And then in off-highway, is this all related to OEM and not related to equipment utilization that we generate aftermarket? Just any more color you can give us on those kinds of things.
Jenny Parmentier: Sure. So let me talk about in-plant first, Nathan. So like I said, we're just seeing some near-term delays in projects and CapEx spending and just kind of overall uncertainty. An example of that would be tool builders. As I mentioned, the channel sentiment remains positive and it feels like interest rate cuts should help us in the future here. But we are seeing some positives too around some of the mega CapEx out there but they're delayed, right? We have some wins coming in but they are delayed a nice win in Asia-Pacific on an EV battery line. So, really more than anything it's about delays in In-plant & Industrial. It feels like a little bit of a pause right now but we feel positive about what we might see in the second half. In off-highway, we did move that to high single-digit negative for the year and we had it mid-single-digit negative. And again primarily based on OEM destocking. So, lower crop prices higher interest rates are continuing to really pressure agriculture. And as I mentioned too, a big indicator to us is production rates and additional shutdowns and we're seeing that from some of those customers. Construction is better but it remains soft. And I would say that it's even softer in Asia-Pacific and EMEA than it is in North America. So, that's some detail behind those two market verticals and what we're seeing.
Nathan Jones: Thanks for that Jenny. I guess my follow-up probably around the divestitures. I mean Parker has divested businesses over the years pretty regularly. But this does seem to be a little bit bigger. Can you talk about kind of what area it's in why you don't consider yourself to be the best owner of this business anymore. Is this more of a one-off on the larger side? Or are there other things that we could see coming out of the portfolio that are a little bit bigger in the size of revenue than you've historically divested?
Jenny Parmentier: This is a really great example of the best owner playbook process that we use every year. We go through and look at our businesses and make sure that we are clearly still the best owner that these businesses fit inside of the growth and margin profile that we expect from our businesses. So, when we looked at this business -- and you're right, it's a little bit bigger than some of the ones that we've done in the past few years, but when we looked at this business we didn't see that we were the best owner. It's a good business. We think they're going to be successful under the new owner, but didn't see it as a core technology for Parker even though with Aerospace, right? And you know how much we like Aerospace but just not a core technology for us. So, that's the reason that we made the decision and it's a great team and I'm sure they're going to do well.
Nathan Jones: Thanks very much for taking my questions.
Operator: The next question is from Joe O'Dea from Wells Fargo. Please go ahead.
Joe O'Dea: Hi, good morning. Thanks for taking my question. I wanted to ask about sort of labor flexibility and just agility of the model to understand an environment when you've got kind of Boeing strikes to contend with and slowing kind of end market expectations over the course of the quarter? Just the levers that you can pull and how quickly you can pull them when we see kind of the margin outcome just sort of looking for a little bit more color on sort of agility advantages at Parker?
Jenny Parmentier: Well, I would say that we have the ability to flex our workforce across the whole company. But we definitely have the ability to flex the Aerospace workforce and production from OEM to aftermarket and vice versa. So, we do have that flexibility. That's not a concern for us.
Todd Leombruno: Joe, Jenny mentioned it in the earlier comments it's really a testament to the decentralized nature of the way the company runs. 85-some businesses with general managers that have full P&L responsibility. We've never had better data across the enterprise. And what we've learned over this journey is that you're never too soon to act, right? And we don't wait for signs from above. Those businesses take those decisions immediately when necessary depending on what markets they're exposed to.
Jenny Parmentier: That's the beauty of all of the tools and the Win Strategy. Some of the best tools for the shop floor are not only driving out the waste but making sure that we can be flexible that we can be agile to meet our customers' needs.
Joe O'Dea: Got it. And then I also wanted to touch on mega projects. Two things really. One, in terms of timing. So when you think about these multiyear projects, at what stage you would start to see orders for those? And then two, based on kind of what we track, it seems like chemicals and power gen have the biggest growth potential next year. And so just anything in terms of your exposure to those markets as well as what you hear from the customers and those delays, confidence that those projects break ground in 2025?
Jenny Parmentier: Yes. When you look at -- like on the slide I had earlier, we're up to $1 trillion, and that's just -- that's the number that we cited from a source of projects that have been announced. And there's no doubt been some delays and some pushouts. But at the same time, there's been more announced, right? And when you look at all the years that they're going to start and projected finishes, I think it's just shifted out a bit. So some, we believe, based on what we see today, will start in calendar year 2025, and we'll participate in those. As we've talked about in the past, our distribution network will participate. In some cases, we will participate directly. As I mentioned before, we win with new construction, new equipment, retooling of factories. And then our distributor partners come in right behind that and support the ongoing operations. So it's really just a very promising future for us when it comes to that. I would say -- I just mentioned that we had a nice win supporting the EV battery line. And we're, I think, going to continue to see projects like that, smaller and larger projects really benefit us this fiscal year.
Joe O'Dea: Great. Thank you.
Todd Leombruno: Thanks, Joe.
Operator: The next question is from Joe Ritchie from Goldman Sachs. Please go ahead.
Vivek Srivastava: This is Vivek Srivastav on for Joe. Thanks for the question. Maybe just starting with order trends. Can you talk about how these trends were exiting September? And as we like exited 3Q, did you see any end markets getting better or worse? Any color there would be very helpful.
Jenny Parmentier: So this is Jenny. So when we look at the orders, on average, what we've seen in the past, and we've talked about this a lot over the last year. But on average, we've seen about 5 to 7 quarters negative before it turns. So if you look at where we're at today, we had 5 negative. We had 1 at 0 at the end of Q4, and I'm speaking about North America now. And now we have Q1 at negative 3. So that makes this first quarter of FY 2025, the seventh quarter where we haven't seen orders turn positive yet. So again, that's what history has shown us. So we feel like this should turn soon. And as I mentioned, what weakened during the quarter in North America with transportation, off-highway and energy, but we did see aerospace orders very strong. And we saw international orders turn positive on Asia improvement. And most of that was semicon and transportation.
Vivek Srivastava: Very helpful color. One thing I also wanted to get a sense was your backlog. Last we checked your backlog coverage in the industrial business specifically has become high 20s compared to like 15% back in 2015. So is this same -- is this still the case in first quarter? And how much of this current backlog coverage levels do you think is more structural versus areas where you think backlog still needs to come down in parts of the industrial business?
Jenny Parmentier: Yes. So the industrial backlog from a dollar standpoint, held steady at $4.2 billion. So no dollar degradation there. It is still in the mid- to high 20s as a percent. And I think that it's a mix. I think it's structural from the standpoint that customers have changed the way that they order. I don't think anybody wants to go through what we went through a couple of years ago and have to really have a lot of weight for the product. But I also think it speaks mostly to the transformation of our portfolio. With the acquisitions that, we've done we have a longer cycle and higher aftermarket business out there and that longer cycle gives us more visibility and orders further out on the demand horizon. So I think that's really the biggest driver of why this is almost double of what it used to be under the old Parker.
Vivek Srivastava: That's great. Thank you.
Jenny Parmentier: You're welcome.
Operator: The next question is from Andrew Obin from Bank of America. Please go ahead.
Andrew Obin: Yes. Good morning. Just a question. We've been hearing a lot from corporates, and I got on a little bit late, so I apologize, if this was answered. But we hear a lot of sort of narrative about uncertainty about the election, and I was just wondering, obviously, very close to your distributors very close to your customers. What are you hearing from your customers? And how much will change -- really change on November 6 right? Because we also sort of have self-lending. We have higher interest rates. We still have inflation. From your perspective how much of a change will the results of the election make into the year-end and into 2025? Thank you.
Jenny Parmentier: So Andrew, I would tell you as I mentioned I've been out in the field a bit this quarter and have talked to distributors some of our largest distributors and Andy Ross has also. We don't have any of them telling us election, right? I mean, they are focused on making sure that they meet the -- what they consider to be still a very high demand of quoting and that they're ready. They talk about their customers just delaying. Some of it may be interest rates but I can't tell you that I have customers that are telling me, hey, I'm going to wait until after November 6, to see what happens. Obviously, you read that a lot. You hear that a lot of people think, another rate cut, and getting past the election is maybe something that's going to change things. But I think, we'll have to see what happens, right? I mean, what we have in the guide for Q2 is based off of the orders that we saw in Q1 based off of what we see rolling up from our divisions. And like I said, we'll just have to wait and see what happens.
Andrew Obin: And no I really appreciate it. And just a follow-up on aerospace and defense, your aftermarket and particularly there's public private partnerships on the defense aftermarket that has been very successful, but I assume eventually comps will matter. Can you just talk about what's driving the market outperformance there? And how sustainable it is? Thank you.
Jenny Parmentier: Yeah. I mean, you said it exactly correct. I mean, if you just look at Q1 growth in defense MRO, it was 47%. And you're absolutely right, comps are going to get harder. Our previous guidance on that segment of Aerospace was high single digits and now we're saying low double digits. But it is really based off of just tremendous success with those public private partnerships. Our teams have done a really great job leveraging the Meggitt portfolio and growing that business even more than we had in the past. So, I do think it's going to continue to be a great growth area for us. But the comps will get harder. You're right.
Andrew Obin: Really appreciate it. Congratulations. Thanks.
Jenny Parmentier: Thanks, Andrew.
Operator: The next question is from Nigel Coe from Wolfe Research. Please go ahead.
Nigel Coe: Thanks. Good morning, everyone. Thanks for question. I guess just maybe Todd, can you just -- I mean if you answered that please cut me off -- but that help on the 25% impact from the divestments. Is that for the entire second quarter? And maybe just be a bit more kind of specific on the sort of the revenue and EBITDA impact. And then just [Technical Difficulty].
Todd Leombruno: Sachi -- are you still there Sachi? Nigel is cutting out a little bit. I think…
Operator: Yes. I'm still here. Yes. Nigel I think cut out a little bit there.
Todd Leombruno: Okay. What I'll try to do Nigel is I'll try to answer your question on the divestitures. That $0.25 of segment operating income and that $0.10 of lower interest expense. We are forecasting that for the remainder of our FY 2025. So that will start in Q2 and remain with the business for Q3 and Q4. It's about $300 million of sales. All of that is coming out of the North American businesses and we talked earlier it is going to have a favorable margin impact for the company. It will be 20 basis points for the full company and it's roughly 40 basis points for the North American business. So that's the details on the divestiture. If you need more follow-up can take that offline.
Nigel Coe: Okay. And second -- it's like a mid-teens EBITDA margin right?
Todd Leombruno: Correct.
Nigel Coe: Okay. I mean look I think I cut off but just the other expense of $0.26 it just seems very discrete in nature. I mean any thoughts on why that was excluded from the line?
Todd Leombruno: Well, we talked about that. It is based on just our normal activity. It was larger than it has been in the past so we chose not to adjust it out. It really was based on just volatility around currency rates from all the central banks cuts throughout the quarter. We do not expect that to continue. So we didn't forecast it to continue and that's the story on that. I think we may have lost Nigel. So Sachi maybe if we can go to the next person in line?
Operator: Sounds good. The next question is from Jeff Sprague from Vertical Research Partners. Please go ahead.
Jeff Sprague: Hi. Good morning. Thank you. Just a couple of things. First, Jenny thanks for the comment on defense MRO, Jenny can have it or Todd can you just give us the other three pieces of Aero if you haven't already -- I'm sorry if I missed it earlier in the call commercial OE versus aftermarket and defense OE?
Jenny Parmentier: Yes. You bet Jeff. You didn't miss it. That was the only one I talked about so far. So commercial OEM Q1 came in at 3% growth. So our previous guidance there was high single digits and now our revised guidance is low single-digits. We expect that based on the slower pace of production and rate increases. Defense OEM it came in slightly negative, but we think that was really just a matter of timing and we remain with the guidance we had out on mid single-digit growth. Commercial MRO came in at 32% and again much like my defense MRO comments the comps are going to get harder. It was strong but the comps are going to get harder. We think that air traffic growth is going to continue to grow as forecasted and we're going to see an increase in spare parts purchases with everything that's going on with OEM production. And then defense MRO high single digit was initial guidance. Now it's low double digits. And again really a lot of growth with those public private partnerships.
Jeff Sprague: And just on the commercial MRO, obviously, over the broader stroke of time less OE is good for aftermarket. Directionally, we all get that. But do you see any sort of kind of risk in the handoff between the two? If the strike persists, maybe not everything just kind of automatically shifts over that aftermarket. Maybe how are you managing that in the factories? Is there absorption issues you're trying to work through? Any other color there would be interesting.
Jenny Parmentier: I would say that, obviously, we all look forward to returning to what it was. But we have such a diverse customer base that we're able to -- I said earlier, we're agile. We're flexible, and we're able to really overcome that. So we don't see any near-term issues with that.
Jeff Sprague: And maybe just a really quick one for Todd. Todd, obviously, North American industrial starting off a little slower than expected. It sort of looks like your guide for the year would kind of imply normal sequentials from here off this a little bit slower starting point. Would you agree with that? Or any other color you would share in just terms of trying to get the complexion of the year right?
Todd Leombruno: Yes Jeff. We do -- I do agree with what your comment is there. The only thing would be that that divestiture activity is expected to come out in North America.
Jeff Sprague: With the divestiture noted, yes. Okay. Thank you.
Todd Leombruno: Very good. Okay. Sachi, I think we have time for one more question here.
Operator: Sounds good. The next question is from Joe Giordano from TD Cowen. Please go ahead.
Joe Giordano: Hey, guys. Thanks for fitting me in here. Just a question when we think about the order sometimes it's tough like on the comps and what that's doing to the rates that we're seeing in the current quarter. Can you comment at all on North America international orders in dollars relative to last quarter?
Jenny Parmentier: About the same industrial. Yes. $4.2 billion.
Joe Giordano: So orders in this quarter -- yes, okay. So orders in this quarter pretty similar to last quarter in dollars? Okay.
Jenny Parmentier: Yes.
Joe Giordano: Okay. And then to your point on delays, I mean I guess it's kind of a tough question but like I guess, every cancellation in history started as a delay at some point. So like if you look back and think about like prior cycles when things ultimately were canceled like, what are the things that you're on the lookout to see like all right these delays are going to like extend indefinitely and get like become something else? Like what do you kind of tend to look for to see if that's happening?
Jenny Parmentier: Yes. Well, we constantly analyze the backlog. The orders coming in the changes that happen week-to-week, our divisions are becoming even sharper at that. I would tell you in the past, I would expect with as many quarters as this is going -- has been going on that we would have -- in the past we would have seen cancellations. Right now we just see delays. And we weren't seeing delays before -- major delays before this last quarter. So it feels like -- like I mentioned before, it feels like more of a pause here. The other thing I would say is what we're just talking about is that overall the backlog just keeps staying where it is. But to answer your question of what other things we look for, we look for those additional plant shutdowns changes in production schedules, because you can kind of keep a close eye on that and determine whether or not those type of reductions are going to be enough. And so we're not surprised by those additional shutdowns now and reduced order rates. And that's what we have baked into the guide. And we'll have an even better look after the first of the year.
Joe Giordano: Thanks guys.
Todd Leombruno: Thanks Joe. Okay. That worked out perfectly. We have no more questions in the queue. So this concludes our FY 2025 Q1 earnings release webcast. We do appreciate your time, attention and confidence in Parker and I thank you for joining us today. Jeff Miller, our VP of Investor Relations; and Yan Huo, our Director of Investor Relations will be available if anyone has any follow-ups throughout the rest of the day. I hope everyone has a great day. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.